Operator: Welcome to Citi's 2025 Q2 Earnings Call. Today's call will be hosted by Jennifer Landis, Head of Citi Investor Relations. We ask that you please hold all questions until the completion of formal remarks, at which time you'll be given instructions for the question and answer session. Also, as a reminder, this conference is being recorded today. If you have any objections, please disconnect at this time. Ms. Landis, you may begin.
Jennifer Landis: Thank you, operator. Good morning and thank you all for joining our second quarter 2025 earnings call. I am joined today by our Chief Executive Officer, Jane Fraser, and our Chief Financial Officer, Mark Mason. I'd like to remind you that today's presentation, which is available for download on our website, citigroup.com, may contain forward-looking statements which are based on management's current expectations and are subject to uncertainty and changes in circumstances. Actual results may differ materially from these statements due to a variety of factors, including those described in our earnings materials, as well as in our SEC filings. And with that, I'll turn it over to Jane.
Jane Fraser: Thank you, Jennifer. And a very good morning to everyone. This morning, we reported another very good quarter, with net income of $4 billion and earnings per share of $1.96, with an ROTCE of 8.7%. Revenues were up 8% and three of our five businesses had record second quarter revenues. We, again, had positive operating leverage at each business and the group level. We continue to demonstrate that our strong performance is sustainable through different environments. In April, I'd said that we were ready to lean in despite the lack of clarity of the moment. And indeed, we have. We are executing our strategy with discipline and intensity. We're improving the performance and returns of each of our businesses whilst advancing their strategic positions and share. And we are making significant progress on our transformation. Turning to our five businesses, Services continues to show why this high-returning business with 23% ROTCE for the quarter is our crown jewel. Revenue is up 8% with robust growth in both loans and deposits. Underlying fee drivers such as cross-border activity and US dollar clearing grew nicely, and we grew our AUCA to over $28 trillion. Markets revenues were up 16%, the best second quarter since 2020. In fixed income, the flows we saw in rates and current were particularly strong, backed by client momentum, including hedging activity as well as improved monetization. Equities had the best second quarter ever, as our prime balances hit a record, with sentiment improving significantly as the quarter progressed. Banking revenues were up 18%. We continue to be at the center of some of the most significant transactions, including serving as the exclusive adviser to Boeing on the $11 billion sale of Jefferson and as lead adviser to Nippon Steel on their $15 billion acquisition of US Steel. Halfway through the year, we have been involved in seven of the top ten investment banking fee events. In addition to the sustained momentum in M&A, we continue to take share in leverage finance and responses, a priority area. We also took share in equity capital markets with convertibles fueling a strong quarter. Wealth delivered a pretax margin of 29%, as revenues were up 20% with each line of business growing significantly and noninterest revenue up 17%. Whilst we have had 9% organic growth over the last year in net new investment assets, we did see inflows slow this quarter as clients were cautious amid macro uncertainty. We are confident we will see a pickup here as markets have recovered. In US PB, we grew revenues by 6% as we continue to focus on product innovation, digital capabilities, and the customer experience. We saw significant growth in branded cards, whilst retail services was pressured by lower sales activity at our partners. And we continue to feel good about the quality and the mix of our portfolio as well as our healthy level of reserves. And retail banking had a very good quarter underpinned by improving deposit spreads. During the quarter, we returned over $3 billion in capital to our common shareholders, which includes $2 billion in share repurchases. On a year-to-date basis, we repurchased $3.75 billion of shares as part of our $20 billion repurchase plan. Ended the quarter at a common equity tier one capital ratio of 13.5%, 140 bps above our current regulatory requirement. We were pleased with the results of our recent stress test. We are well positioned to continue to increase the return of capital to our shareholders, as well as an increased dividend of $0.60 per share beginning in the third quarter. The results of the recent stress test also show how we have derisked the company by implementing a more focused business model, which includes divesting our international consumer businesses with Poland our last remaining sale expected to close next year. I am particularly pleased that the momentum across our franchise includes the transformation as well. Investments we have made are improving our risk and control environment. Many of our programs are at or near target state, and we are making good progress in the remaining areas. We continue to focus on streamlining processes and platforms and driving automation to reduce manual touchpoints. Also increasingly deploying AI tools to support these efforts in areas such as data quality, and we remain on track with our data plan. And as all of this work progresses, we are confident that our transformation expenses will start to decrease next year. But transformation is hardly the only recipient of investment. We continue to make investments that enhance the competitiveness of our businesses. For example, we aim to deliver the benefits of advancements in stablecoin and digital assets to our clients in a safe and sound manner by modernizing our own infrastructure and improving efficiency, transparency, and interoperability for our clients. As a leading global bank in the space, we are laser-focused on innovations which enable clients to access real-time, 24/7 payments, clearing, and settlement across borders and across currencies. Citi token services, our leading digital asset solution, is now live in four major markets with more to come and has processed billions of dollars of transactions since its launch. In markets, investments in our trading platforms have allowed us to handle record volumes with ease. In wealth, our partnership with iCapital will provide an end-to-end solution for alternative investment offerings. As you saw with the American Airlines extension and the refreshed Costco Anywhere Visa card, we're investing in our cards portfolio to deliver more value for our cardholders. And later this quarter, we will introduce a new proprietary premium credit card, Citi Strata Elite, to our rewards family of products to expand our offering for affluent customers. In terms of investing in talent, our momentum and value proposition continue to attract great leaders to the firm, as you've seen recently in banking and wealth. Just as importantly, we are giving our talent the tools and the resources to compete and to win. Now let's turn to the environment. Well, it's proven to be more resilient than most of us anticipated. But we are dropping our guard as we begin the second half of the year. We expect to see goods prices to start picking up over the summer, as tariffs take effect, and we have seen pauses in capex and hiring amongst our client base. All of that said, the strength of the US economy driven by the American entrepreneur and a healthy consumer has certainly been exceeding expectations of late. As I've been speaking to CEOs, I've yet again been impressed by the adaptability of our private sector aided by the depth and breadth of the American capital market. I believe our results over the past year will help you see why we have been so confident in our trajectory. Our people have been performing with excellence in an unpredictable macro environment, and I am so proud of them. The need for what we can uniquely provide for clients remains in very high demand, and we will continue to deliver for them through our OneCity approach through the second half of the year and beyond. Our wealth business is now starting to truly benefit not only our retail bank but our global network. By aligning client coverage and deploying credit more strategically, we're deepening relationships with asset managers and private market clients across services, markets, banking, and wealth. Importantly, we are gaining share of mind, as well as share of wallet. We will remain relentlessly focused on execution. As I've said, next year's 10% to 11% ROTCE target is a waypoint. It's not a destination. The actions we have taken have set up Citi to succeed long term, drive returns above that level, and continue to create value for shareholders. With that, I will turn it over to Mark, and then we will be happy to take your questions.
Mark Mason: Thanks, Jane, and good morning, everyone. I'm going to start with the firm-wide financial results, focusing on year-over-year comparisons unless I indicate otherwise, and then review the performance of our businesses in greater detail. On slide six, we show financial results for the full firm. This quarter, we reported net income of $4 billion, EPS of $1.96, and an ROTCE of 8.7% on $21.7 billion of revenue, generating positive operating leverage for the firm and each of our five businesses. Total revenues were up 8%, driven by growth in each of our businesses, partially offset by a decline in all other. Net interest income, excluding markets, you can see on the bottom left side of the slide, was up 7%, driven by services, USPB, and wealth, partially offset by a decline in corporate other. Noninterest revenues, excluding markets, were up 1% as better results in banking and wealth were offset by declines in legacy franchises and USBB. And total markets revenues were up 16%. Expenses of $13.6 billion were up 2%. Cost of credit was $2.9 billion, primarily consisting of net credit losses in US card, as well as a firm-wide net ACL build driven by services, banking, and legacy franchise. Looking at the firm on a year-to-date basis, total revenues were up 5%, driven by growth in each of our five businesses, partially offset by a decline in all other. And expenses were down 1%, as we generated positive operating leverage for the firm and each of our five businesses and reported an ROTCE of 8.9%. On slide seven, we show the expense trend over the past five quarters. The expense increase this quarter was driven by higher compensation and benefits, largely offset by lower tax and deposit insurance costs, as well as the absence of civil money penalties in the prior year. The increase in compensation and benefits was driven by higher severance, primarily related to the realignment of our technology workforce, volume and other revenue-related expenses, and investments in transformation and technology, with productivity and stranded costs partially offsetting continued growth in the business. As we've said in the past, we are very focused on bringing down our expense base through reduction of stranded costs and productivity savings, both of which allow us to self-fund our additional investments in transformation, technology, and the businesses. On slide eight, we show key consumer and corporate credit metrics. At the end of the quarter, we had $23.7 billion in total reserves, with a reserve to funded loan ratio of 2.7%. Approximately 85% of our card portfolio is to consumers with FICO scores of 660 or higher, and our reserve to funded loan ratio in the card portfolio was 8%. And it's worth noting that we're seeing an improvement in our card credit trend. Looking at the right-hand side of the slide, you can see that approximately 80% of our corporate exposure is investment grade, including international exposure, of which approximately 90% is either investment grade or exposure to multinationals and their subsidiaries. And on the bottom right side of the slide, you can see that our corporate nonaccrual loans increased in the quarter resulting from idiosyncratic downgrade but remain low. We feel good about the high-quality nature of our portfolio, which reflects our risk appetite framework and our focus on using the balance sheet in the context of the overall client relation. Turning to capital and balance sheet on slide nine, where I will speak to sequential variance. Our $2.6 trillion balance sheet increased 2% with growth in cash and loans partially offset by lower trading-related assets. End-of-period loans increased 3%, primarily driven by markets and USBB. Our $1.4 trillion deposit base remains well diversified and increased 3%, driven by services. We reported a 115% average LCR and maintained over $1 trillion of available liquidity resources. We ended the quarter with a preliminary 13.5% CET1 capital ratio, which incorporates a 100 basis point management buffer and is 140 basis points above our current regulatory capital requirement of 12.1%. As we announced earlier this month, under the current stress capital buffer framework for the standardized approach, we would expect our regulatory capital requirement to decrease from 12.1% to 11.6%, which incorporates the expected reduction in our SCB from 4.1% to 3.6%. That being said, we await the finalization of the Federal Reserve's proposed rulemaking to reduce variability in the SCB, which includes averaging results from the previous two consecutive years and modifying the annual effective date from October 1st to January 1st. If the averaging were to be implemented as the proposal is written, we expect our SCB to be 3.8%. And as a reminder, we announced an increase to our quarterly common dividend to $0.60 per share following the SCB results, effective in the third quarter. Overall, we were pleased to see the improvement in our DFAS results and the corresponding reduction in our SCB for the second consecutive year. Even with these reductions, we remain very focused on efficient utilization of both standardized and advanced RWS. Turning to the businesses. On slide ten, we show the results for service in the second quarter. Revenues were up 8%, driven by growth across both TTS and security services. NII increased 13%, driven by an increase in average deposit and loan balances, as well as higher deposit spreads, partially offset by lower loan spread. NIR was down 1% as continued growth in fees was more than offset by higher lending revenue share. We continue to see strong activity and engagement with corporate clients and momentum across most underlying key drivers, including cross-border transactions, assets under custody and administration, and US dollar clearing, with total fee revenue up 6%, which we've included on the bottom left side of the slide. Expenses declined 2%, driven by the absence of tax and legal-related expenses in the prior year, largely offset by higher compensation and benefits, including severance, as well as technology costs. We continue to make investments in our platform and products to win new clients and deepen with existing clients. Foster credit was $353 million, driven by a net ACL build of $333 million, primarily related to transfer risk associated with our clients' activities in Russia. Average loans increased 15%, driven by continued demand for trade loans globally, as our clients expand their operations and suppliers. Average deposits increased 7%, with growth across both international and North America, largely driven by an increase in operating deposits. Services generated positive operating leverage for the fourth consecutive quarter and delivered net income of $1.4 billion, with an ROTCE of 23.3% in the quarter and 24.7% year to date. Turning to markets on slide eleven. Revenues were up 16%, driven by growth across both fixed income and equity. Fixed income revenues increased 20%, with rates in currencies up 27%, reflecting increased client activity and monetization across both corporates and financial institutions. Spread products and other fixed income were up 3%, driven by higher financing activity and loan growth, partially offset by lower credit trading. Equities revenues were up 6%. Excluding the impact of the Visa b Exchange offer in the prior year, equities revenues were up over 35%, with solid growth across all products driven by momentum in Prime Services, with record balances up approximately 27%, as well as higher client activity and volumes in cash equity and strong monetization of market activity and derivatives. Expenses increased 6%, largely driven by higher volume and other revenue-related expenses. Foster credit was $108 million, driven by a net ACL build of $100 million due to changes in portfolio composition, including exposure growth. Average loans increased 14%, driven by financing activity and spread products. Markets generated positive operating leverage for the fifth consecutive quarter and delivered net income of $1.7 billion, with an ROTCE of 13.8% in the quarter and 14% year to date. Turning to banking on Slide twelve. Revenues were up 18%, driven by growth in corporate lending and investment banking, partially offset by the impact of mark-to-market on loan hedge. Investment banking fees increased 13%, with growth in M&A and ECM, partially offset by a decline in DCM. M&A was up 52%, with gains across a multitude of sectors and with financial sponsors. ECM was up 25%, with strength in convertibles and IPOs, as markets stabilized late in the quarter. And while DCM was down 12%, as our investment-grade volumes decreased versus very strong performance in the prior year, we continue to gain share and leverage finance. Corporate lending revenues, excluding mark-to-market on loan hedges, increased 31%, primarily driven by the impact of higher lending revenue share. Expenses were up 1%, as higher volume and other revenue-related expenses and continued business were primarily offset by the benefit of our prior actions to rightsize the workforce and expense base. Cost of credit was $173 million, which included a net ACL build of $157 million, primarily driven by changes in portfolio composition, including sequential growth in lending. Banking generated positive operating leverage for the sixth consecutive quarter and delivered net income of $463 million, with an ROTCE of 9% in the quarter and 9.8% year to date. Turning to wealth on slide thirteen, revenues were up 20%, with growth across Citi Gold, the private bank, and Wealth and Work. NII, which you can see on the bottom left side of the slide, increased 22%, driven by higher deposit spread, partially offset by lower mortgage spread and lower deposit balances. NIR increased 17%, driven by an $80 million gain on the sale of our alternatives fund platform to iCapital, as well as higher investment fee revenue as we grew client investment assets by 17%. Expenses were up 1%, as higher volume and other revenue-related expenses, episodic items, and severance were primarily offset by benefits from continued actions to rightsize the expense base and lower deposit insurance costs. End-of-period client balances continued to grow, up 9%. Average loans declined 1%, as we continue to be strategic in deploying the balance sheet to support growth in client investment assets. Average deposits declined 3%, driven by taxes and other operating to higher-yielding investments on our platform, partially offset by client transfers from USPB, reflecting our ability to support clients as their wealth and investment needs evolve. Wealth had a pre-tax margin of 29%, generated positive operating leverage for the fifth consecutive quarter, and delivered net income of $494 million, with an ROTCE of 16.1% in the quarter and 12.8% year to date. Turning to US Personal Banking on slide fourteen. Revenues were up 6%, driven by growth in branded cards and retail bank, partially offset by a decline in retail service. Branded cards revenues increased 11%, driven by net interest margin expansion and growth in interest-earning balances, which were up 7%. We continue to see growth in spend volume, which was up 4%. Retail banking revenues increased 16%, driven by the impact of higher deposit spread. And retail services revenues declined 5%, largely driven by higher partner payments due to lower net credit loss. Expenses were up 1%. Cost of credit was $1.9 billion, driven by net credit losses in card. Average deposits declined 3%, as net new deposits were more than offset by client transfers to wealth that I mentioned earlier. USPB generated positive operating leverage for the eleventh consecutive quarter and delivered net income of $649 million, with an ROTCE of 11.1% in the quarter and 12% year to date. Turning to slide fifteen, where we show results for all other on a managed basis, which includes corporate other and legacy franchises, and excludes divestiture-related items. Revenues declined 14%, with declines across both corporate other and legacy franchise. The decline in corporate other was driven by lower NII resulting from actions that we've taken over the past few quarters to reduce the asset sensitivity of the firm in a declining rate environment. Legacy franchises were driven by the impact of the Mexican peso depreciation, expiration of TSAs in our closed exit market, and continued reduction from our wind-down markets, largely offset by underlying growth in Banamax. Expenses increased 8%, with growth in corporate other, which included higher severance, largely offset by lower expenses in legacy franchise. And cost of credit was $374 million, largely consisting of net credit losses of $256 million, driven by consumer loans in Banamec. Turning to the full-year 2025 outlook on slide sixteen. Given the strong performance in the first half of the year, we now expect to be at the higher end of our full-year revenue range, around $84 billion, with net interest income excluding markets up closer to 4%. As it relates to expenses, as a reminder, both the level of revenue and the mix of revenue inform and impact our expense base, which we expect to be around $53.4 billion this year. However, if revenues were to come in above $84 billion, we would expect expenses to come in higher as well, commensurate with the increase in revenue. And as a reminder, currency fluctuations may impact both revenue and expenses in the balance of the year but tend to be roughly neutral to earnings. In terms of credit, given the improvement that we've seen in both delinquent and net credit loss rates in both cards portfolios, we expect net credit losses to be within the range of 3.5% to 4% for Branded Card, and 5.75% to 6.25% for retail service. And the ACL will continue to be a function of the macroeconomic environment and business volume. Now turning to capital. We remain committed to repurchasing shares each quarter under our $20 billion share repurchase program and expect to buy back at least $4 billion this quarter. That said, going forward, you should not expect us to provide precise buyback guidance. As we take a step back, the performance in the quarter and so far this year represents significant progress towards our goal of improved firm-wide and business performance. We are proud of what we've accomplished, and we are well on our way to delivering the full power of our franchise. We remain steadfast and focused on executing on our transformation, achieving our ROTCE target of 10% to 11% next year, and further improving returns over time. And with that, Jane and I would be happy to take your questions. At this time, we'll open the floor for questions.
Operator: If you'd like to ask a question, please press star five on your telephone keypad. You may remove yourself at any time by pressing star five again. Please note, you'll be allowed one question and one follow-up question. Again, that is star five to ask a question. And we'll pause for just a moment. Okay. Our first question will come from Jim Mitchell with Seaport Global Security. Your line is now open. Please go ahead.
Jim Mitchell: Oh, hey. Hey. Good morning, Jane and Mark. So, Jane, you've good morning. You've good morning. You've talked about next year's 10%, 11% ROTCE target as a waypoint. You've said that a few times now. So I know you're not gonna give any hard targets for 2027, but can you give us a sense of what you think the long-term return profile could look like roughly and what you see as the key drivers to higher returns beyond 2026?
Jane Fraser: Yeah. I would be delighted to do so. And you're right. I'm not gonna be giving a target at this juncture. I feel very confident about our path forward. I think you can see this quarter. The firm is firing on all cylinders. We have the confidence of the right strategy. We're uniquely positioned to support our cross-border clients. And I, Mark and I both feel very pleased about how it all coming together both within and across the five businesses. Got this simpler yet diversified business model in a strong financial position feel very good about the leadership team. And we've got those hard and strategic decisions behind us so we can be on the front foot. So I feel confident, first of all, about the target for next year. But as I've said, the 10% to 11% target, it's this waypoint. It's not the destination. And we're managing the firm for the longer term with a good trajectory. And there are three drivers of higher long-term returns. Revenues, expenses, and capital. Mark, I'll take revenues. I'll hand to you on the expense and capital from. So on the revenue growth, you know, you've seen us grow very steadily over the past few years in a, let's call them, a variety of different macro environments. This quarter is a strong continuation of that. As I'm looking forward, banking, we've talked about continued share growth. We're very pleased with the M&A front. The pipeline's excellent. And the linkage between banking and markets there is particularly pleasing. With services, we'll we will just growing with new clients and with existing clients. We pointed to a very strong new client wins this quarter. A lot of new suppliers we've been bringing on but also the new product innovations. I'm sure we'll talk about digital assets at some point on this call. So I feel very good about, the crown jewel continuing to deliver. In wealth, we've got great investments runway and just huge upside. You can tell the excitement from Andy and the team. From our existing clients, the famous $5 trillion as well as the opportunity with the new wealth creators. It's we're very much that private bank for the progress makers in the world. In markets, great quarter. But equities, I think the piece I like here is that we've now got that second leg to the strength that we have in derivatives, which is in prime. That platform is scaled. We're continuing to invest in it. It's got very high return marginal return that comes with the growth. So expect to see us continue there. Volatility is going to, I suspect, be a feature, not a bug. Of the new world order, and we will benefit from that. And, again, in markets the private market space has capital market evolves is an area our financing business is very well positioned. Again, strong connectivity with banking here. For us to continue to grow, take share, and help participating, not to mention FX options. And then finally, US personal banking. We've got a wonderful relationship with American Airlines. We've got a very exciting, net 26 lined up. You've seen us with new product innovations this year. With the Strata Elite coming out later on in the quarter. Retail banking, again, really hitting its stride now and feeding both well but also the broader NAM franchise. I feel good on the revenue side. But, Mark, let me pass to you.
Mark Mason: Key point, obviously, revenue momentum. Another key point is continued expense discipline. And I think you've seen that through the first half and obviously the targets we've set for 2025. But that continues in 2026 and beyond. The drivers there are likely to be you know, continued reduction in severance. We talked about 2025 having a sizable severance estimate in our forecast. The transformation expenses, which are going up in 2025, will trend down over time. The stranded costs, which have been coming down, we brought cost stranded cost down by about $3 billion. There's still about $1.2 billion left. That'll trend down over the next couple of years, and then continued productivity some of which will be enabled by AI that Jane mentioned earlier. So those are a number of the drivers that we think will contribute to the continued expense discipline. And I used discipline intentionally because in order to capture that revenue momentum that we've seen in the first half and that Jane outlined, drivers of the forward look it's going to require continued investment. And so part of our responsibility is going to be driving efficiencies while making investments that allow for us to play for the longer-term returns and better serve our clients. So revenue momentum, expense discipline, and then finally capital and continuing to be efficient about how we use our risk-weighted assets and capital in you heard me mention earlier us increasing our buybacks to $4 billion at least $4 billion in the quarter. And we'll continue to be good stewards of our capital as we manage through 2026 and beyond.
Jim Mitchell: Okay. Well, that's a very fulsome response. I appreciate it. 
Mark Mason: You didn't have another question, Jim, did you? 
Jim Mitchell: Well, I did have one little follow-up on the revenue forecast for this year, the guidance. I appreciate going to the higher end. But I guess if I look at first half, $43.3 billion to get to $84, you're dropping $2.5 billion in the back half. I think last year, you kind of fell half that. So is there something we should be thinking about? Is it just being cautious? There is seasonality. I know in markets, just trying to think through why the big step bet down in the second half given the momentum.
Mark Mason: Sure. I'll keep it brief. Look, I think the we did have a very strong first half. There was obviously a great deal of uncertainty and volatility. That we managed through and helped our clients manage through. The second half does seasonally tend to be softer than the first half. We're certainly estimating that as we think about the $84 billion. In the high end of that range that I've that we've moved you to. That would include a market's second half that is down. Generally consistent with what we've seen historically versus the first half. Obviously, if there's increased volatility and repositioning that investor clients want to take on the heels of that, we'll see how that plays out, but that's an important factor that's that's playing through in the $84. And then on the NIIX markets part, we do expect to see you know, continued loan growth and operating deposit growth you know, play through in a rate environment that you know, is probably with fewer cuts than we expected originally. But the short of it is that we have factored in some normal seasonality in the second half juxtaposed against the first that's driving us to the high end of the range.
Operator: Our next question will come from Erika Najarian with UBS. Line is now open. Please go ahead.
Erika Najarian: Yes. Hi. Good morning. My first question is on capital. Mark, I appreciate that you're moving away from the quarterly, you know, buyback guide. Wondering two questions. One, is 13.1% still the right level in terms of the year-end target as we think about you know, regulatory reform and SCB relief. And, additionally, you know, you're operating in a 140 basis point buffer. You know, as we think about a regulatory reform construct that's supposed to reduce volatility in the capital minimum, when do you think is the right time to readdress that buffer? 
Mark Mason: So look, in terms of the target for the end of the year, I think it's important, as I said in the prepared remarks, to acknowledge that, one, we've seen our SCB come down in the most recent DFAS results. For now a second year in a row. With that said, there's still some uncertainty as to what the will ultimately be, the reduction will be, whether depending on whether it's an average of the last two years or not. As well as the timing for it. So whether that will be the normal or historical October 1st date, or whether that will move to January 1st. And both of those factors impact the answer to your question in terms of whether there's you know, whether the 13.1% is still the year-end target or whether it's some so until we get clarity on that, we are continuing down the path of returning, you know, as much capital as we originally had planned for. You know, when I set that target and as we get clarity, we will adjust accordingly. But I think importantly, what you see is us pulling forward buybacks as much as we can, as early as we can while obviously being responsible about it. And taking advantage of the fact that we're still trading below book value and it makes sense to do that. So that's how I think about the 13.1%. What I will say is regardless of the outcome of averaging or the start of the new SCB level, it does afford us more flexibility. In the way of how much how much capital you know, we have to buy back or redeploy, and we'll continue to kind of assess that. In terms of the management buffer, we look at that on a regular basis as I've told you in the past. It's an internal management buffer. It's sized in part with how we think about volatility in RWA and AOCI. As well as variability in the SCB. We're pleased with the direction and tone that we're hearing from DC in terms of looking at capital in a more holistic and as we continue to get clarity on that, we'll continue to assess how much of a management buffer is required. In the meantime, we're still running it at the 100 basis points. 
Erika Najarian: And my second question is, I know how important it is to know, work on lifting that 2020 OCC consent order. And I'm wondering as, you know, we think about you know, some of the costs associated with transformation, you know, is there a way to size you know, when if the consent when the consent order is lifted? You know, what expenses that could be freed up to reallocate to the rest of the company. Now I know you've talked about this, you know, with investors in the past. You know, and you know, you had to another peer that had talked about freeing up expenses as consent orders were resolved. Wondering if you could give us a little bit more clarity here.
Mark Mason: Well, you know, first, I'd say, as Jane said in her prepared remarks, we're pleased with the progress that we're making around the transformation work and there are a number of aspects of that that are at their target state, which is a I think is a very, very positive sign. I think I've said before that we've spent last year, we spent about $3 billion investing in the transformation work and that I expected that we'd have a significant meaningful increase in that spend in 2025. We are seeing that increase but I do expect that as we go into 2026 and beyond, and as programs are completed and validated and proven to be sustainable and embedded by the regulators that we will start to see that spend come down. In 2026 and beyond. And we'll also start to see some of the benefits from those investments help to reduce our underlying operating cost. And the final point I'd make is that know, we're not just looking at these investment dollars without teasing out opportunities to extract efficiencies from them. And what I mean by that is when we talk about applying AI tools to the work that we do on a day-to-day basis, that includes the work that we have to do in executing against our transformation and remediating the consent order concerns. And so there too, our efficiencies in how we go about doing that, again, all of which will help to drive down know, cost in 2026 and beyond.
Jane Fraser: I just reemphasize. You don't need to wait for a consent order to be lifted to bring the expense down. You get the work done, you go into sustainability. You hand the work over to regulators. And then they make a determination. So don't just think this only happens when orders are lifted.
Operator: As a reminder, our next question will come from Ebrahim Poonawala with Bank of America. Your line is now open. Please go ahead.
Ebrahim Poonawala: Hey. Good morning. Guess just wanted to follow-up, Mark, on the capital question. Just talk to us as we think about appreciate what you just said, but when we think about the binding constraint from standardized to advanced, how we should think about it, and are there actions we saw in SRT trade that three I think, executed in June. Just what are the avenues to optimize the capital stack in a way so that advance doesn't become a binding constraint for setting. Any perspective would be helpful there. Thanks.
Mark Mason: Yeah. I think the first thing I'd say is that, you know, today, our standardized CET1 is our binding constraint. The second thing I'd point to is that you've seen us be very disciplined over the past couple years at managing our risk-weighted assets a standardized basis and optimizing the use of them, particularly in areas like markets, to ensure that we're getting the best return for the deployment of those risk-weighted assets and that is also true. For how we think about advanced as the gap between the two narrows. We're equally focused on how do we ensure that we're that we're using risk-weighted assets on both a standardized and advanced basis as efficiently as we can. And so we're mindful of how tight they're running, standardized is still the binding constraint. But as we look at the businesses and the activities that we do, we're making sure that we drive for that greater efficiency you know, from those two metrics. But there are multiple reasons why there's a difference between standardized and advanced RWA. They have to do with how each framework treats certain credit portfolios. Whether it be consumer or wholesale, you know, standardized tends to be more punitive. To the mortgage book, advanced is more punitive to international wholesale exposures. And so we're mindful of those things as we drive towards kinda the efficient use. But we're also mindful that the regulatory landscape continues to evolve. And you know, who know advanced under Basel III is supposed to be down a path of retirement, and we wanna be thoughtful about how we manage the two metrics so that we aren't compromising the strategy for a metric that may be temporary. Again, pleased with the tone in DC in terms of looking at things holistically and looking forward to some speedy advancement as it relates to the outcome of their reviews.
Ebrahim Poonawala: Helpful. And I guess, I think Jane alluded to this on Stablecoins, there is a lot of focus on how stable coins could be used for treasury management, global liquidity management. If if we could double click on that in terms of how you're already using STOKE how you're already using these internally. And do you view disruption risk to services revenues tied to increased adoption of Stablecoins? Thank you.
Jane Fraser: Yeah. Look. It's the last it's the next evolution in the broader digitization of payments, financing, and liquidity. I view it just as we were seeing a change with fintechs a few years ago. Ultimately, what we care about is what our clients want. And how do we meet that need. What our client wants is multi-asset multi-bank, cross-border, always-on solutions. Providing a safe and sound manner with as many of the complexities solved for them. That's like a compliance accounting reporting, etcetera. And that's what we do. We are the global leaders enabling clients to move money cross-border and digital asset solutions complement our existing product suite. So we're well advanced in developing our digital asset capabilities. You've heard me talk a lot about Citi token services. And a slew of other innovations. What they do is they let us modernize our own business where needed, they grow new revenue streams for us and also allow us to acquire new clients. So when I look at the Stablecoin side, so four main areas that we're exploring reserve management for Stablecoins, the on and off ramps from cash and coin, backwards and forwards, we are looking at the issuance of a Citi stable coin. But probably most importantly is the tokenized deposit space where we're very active. And then also providing custodial solutions for crypto assets. So this is this is a good opportunity for us.
Operator: Our next question comes from Mike Mayo with Wells Fargo. Line is now open. Please go ahead.
Mike Mayo: Hi. Just one specific question on the transformation calls. What were they for the second quarter? Just trying to get a run rate and where those go to.
Mark Mason: Yeah. I didn't I haven't broken them out here for the second quarter, Mike. What I will say is you know, what I said already, which was we had $3 billion last year where increasing that meaningfully in the year. And we obviously saw some of that increased play through the first and second quarter and expect to see a bit more of it in the third and fourth before trending down in 2026.
Mike Mayo: Okay. And the stranded calls, you said you have just $1.2 billion left of those?
Mark Mason: Yeah. The proxy, if you look at the all other page in the bottom right-hand side, it gives you a little bit of a proxy for that. The second quarter expenses look at closed or signed markets about $100 million. The wind-down sale and others about $200 million. Call it $300 million a quarter that we have that we're continuing to push and drive out of the place. Is probably a little bit once the Banamax of Mexico deal is signed, but the good proxy is about $300 million that we're still working to drive out.
Mike Mayo: Alright. And then separately, I maybe this is for Jane. I guess what I'm thinking, not the consent order, but when the amended portion of the amended consent order comes off, and I know you can't answer that directly, but what is it you're trying to show to regulators to help show them that the amended portion of the consent order no longer needs to be there. I mean, when you look at the substance, the org simplification is done. The exits are mostly done. The modernization, you've made progress in the two decades since stuff didn't happen. The management restructuring done to five lines of business. And you said the data plan's on track. Whereas, I guess, it wasn't necessarily on track before. So what does it take to get that amended portion taken off? Or what are you trying to show regulators?
Jane Fraser: Well, I would say that we're focused on making sure that we can close the consent orders, not just the amended portion. Amended portions is a what it says, it's a resource review plan to make sure that we've got the resources that are required to for the progress that we're making and for the completion of the work. And I would just take the opportunity, Mike, just to reinforce that I feel very good about the progress we've made and our trajectory. We are now at or mostly at city's target state, the majority of the programs. You can see that in the school card we laid out. You know, it the important areas like end-to-end risk management life cycle. Compliance risk management. You've got the new forecasting engine for the rezo requirements. Once you're in the target state, you then have to ensure the programs run sustainably they deliver the desired reduction, that takes a bit of time before we then hand them over to the regulatory review process. And on data, you know, we're early in the remediation work on a step back we took last year, but I'm very pleased with the progress. This year, we're seeing good momentum, and I'm very excited about the work we're doing enhancing the controls. Driving a lot of your automation, and AI is definitely starting to help remediate it. So essentially, now I want to see you know, each of the different programs in target state, delivering what they meant to be delivering, and then they would then move to their closure process. But we're pleased with the risk reduction. We're pleased with where we're headed. So going the right way.
Operator: Our next question comes from Betsy Graseck with Morgan Stanley. Your line is now open. Please go ahead. Thanks so much.
Betsy Graseck: Just one question. On Banamax mark. I think you mentioned just now when Banamax is signed, maybe we could get an update as to where things stand there.
Jane Fraser: Look, there's nothing new to update you on. You know, we continue to be on track with the preparation for the IPO. The team is focused on finalizing the audit financial statement related this quarter. You can imagine there's a lot of regulatory filings to be done. Our goal is to do everything in our control to be in a position to IPO by the year-end, but obviously, the timing there depends on market conditions and regulatory approvals, which could well take us into 2026 as I talked about. And the other very important piece, we're focused on improving Banamex's business performance. And I'm pleased that we're capturing share. We're outpacing growth in the market. The consumer businesses are growing at double digits. So all of this is headed in a good way, but there's no, no nothing to update you on there. It's we're focused on what we told you we would do.
Betsy Graseck: And is there a bogey with regard to, like, what a market is open means?
Jane Fraser: No. I mean, no different to any other IPO. So no bogey there, obviously have a valuable asset and we wanna maximize shareholder value as we think about exiting it, but there's no specific bogie to it. We'll do this at the right time.
Operator: Our next question comes from John McDonald with Truist. Your line is now open. Please go ahead.
John McDonald: Hi. Good morning. Wanted to ask about credit cards. You noticed some nice improvement in the credit quality trends in cards and then a better outlook for second half losses. Could you drill down a little bit, Mark, on what you saw in terms of delinquencies and roll rates in the second quarter and whether that improvement you're talking about is is that driven by macro factors or some seasoning factors. Your portfolio?
Mark Mason: Yeah. Sure. Good morning, John. Look, I think I think when you look at the performance, you know, in the quarter, we're very pleased, first of all, with UPB performance in aggregate, very pleased with BrandyCar. You see good purchase or spend volume kick up there. Importantly, you're seeing good average interest-earning balance growth there as well. You know, payment rates are kind of in line with that expectations as are the loss rates that you can see kinda fleshed out a little bit more on page on page twenty-one of the deck. And I fact, you see those kinda loss rates kinda ticking down a little bit quarter to quarter. And you see the ninety ninety days past due that we show ticking down as well. What I what I'd highlight is that is largely consistent with kind of pre-COVID seasonality in terms of in terms of that delinquency behavior. And so that gives us some confidence on where loss are likely to trend, all things being equal. When we look at kind of the nature of you know, the spend it's in line with kind of where we would expect. We are seeing know, continued increase in spend, but it tends to be towards the more affluent customers. And, you know, we skew towards the higher FICO score. It's in essentials. There is some in dining and inter and. And so a discerning, you know, consumer, I think, in good health. Given the uncertainty in the current environment, we are watching things in addition to delinquencies and NCLs. We're looking at, you know, obviously, the impact of current tariffs, the path of interest rates, consumer spending, and how that's evolving, labor markets, etcetera. But net net is kinda what I alluded to earlier, which is good trends in some of these key indicators giving us confidence on the NCL guidance range.
John McDonald: Okay. Thanks. And just a follow-up on expenses. Appreciate the earlier comments on the cost trends and opportunities. You look into next year, Mark, are you still thinking about that kind of sub $52.6 billion as a goal for next year? And is that also a level we should view as a waypoint with further opportunities?
Mark Mason: Yeah. Look. I still think of that as the target. For next year, as I've said before. I would take a step back for a second and just you know, I'm focused we're focused on you know, the ten to eleven percent and then improving our returns beyond that. Right? And the expenses are obviously a key component to that, but I highlight that because what you see in the half and in the quarter is very strong momentum on the top line. When Jane talked about 2026 and beyond, she talked about continued momentum on that top line and I would just highlight that we're not gonna miss an opportunity for that to be sustainable. By not investing in the franchise. Right? So as we get into 2026, you know, if there are opportunities for us to be investing to drive more sustainable growth on the top line, capture more synergies across these businesses, we're gonna be doing that. And we're doing that, by the way, in 2025 too. And funding a lot of it out of the productivity savings that we're able to generate. But you're seeing that in talent we're bringing in in wealth, talent we're bringing in in banking. Those investments are what has allowed for us to really drive this 8% you saw in the quarter and the 5% you see year to date. So along with the way of saying, yes, that's the target. As of today about 2026. But I'm really trying to make sure we get good momentum out of our returns. And that, as Jane says, is something that continues to improve even as we come out of 2026.
Operator: Our next question comes from Glenn Schorr with Evercore ISI. Your line is now open. Please go ahead.
Glenn Schorr: Thanks. A question on the progress you made in investment banking and markets. The couple of things I heard over the last couple of quarters, but definitely today are, you know, big growth in prime broke prime broker services, investments in leverage finance, progress in converts. All that is good use of balance sheet, but they do use balance sheet. I'm cool with that. So I guess I'm more asking on the go-forward basis. There are key hires that go along with that and client wins that we don't get details on. And then is there an opportunity to add good return on RWA balance sheet commitment further because, you know, I think there was some pulling back over the last couple of years as you needed to. And now I hear that being let out, and I feel like sometimes that might be don't wanna call easy, but easier to drive some share gains by letting out a little bit more rope. So I was just looking to get color on that. Thanks.
Jane Fraser: Yeah. Thanks, Glenn. Look. We believe there is very good opportunity to add you know, in a number of areas, you know, what good returning RWA and further balance sheet commitments and I won't go through the answer. I gave on the first question because I was running through a lot of different areas. Because there's a multitude of it. I think this has put real discipline into how we look at allocating balance sheet. All of our business heads get together and they decide collectively, for example, on the deployment of the corporate loan book and where if we're leaning in on lending, making sure we get the full share of wallet, not just hitting return target from it. And that's been an area that's got good discipline. Prime's got a lot of upside and a lot more way to go in terms of adding the volumes onto the platform. And capital space and the financing business, another area with high marginal returns. Some of the mortgage book, not a huge growth area for us, but another one that's got good opportunity. And then, you know, we've gotta love our proprietary card business. So, you know, there's a multitude of different places that we see that we expect to be deploying capital with high returns. Whilst continuing the discipline we've got which is also taking capital away from some of the areas that have been you know, either at low returns or that are commoditizing. I'm, you know, very proud of the team. They've done an excellent job on that. And we'll continue doing more of the same.
Glenn Schorr: That's great. I one more follow-up. Within services, you talked about lower loan spreads, but in general, I think everybody's got a lot more capital than they thanks to earnings and derig. And so just more of a broad question across all the businesses. What are you expecting in terms of loan yields with all this excess capital? And what are would call limited demand still.
Mark Mason: Yeah. Look. We are we are seeing continued loan growth across across the portfolio. So we've seen it, as you mentioned, in services, in trade loans. And, you know, those are really on the heels of our of our clients looking at different trading corridors and wanting to bring on additional suppliers in preparation for what could be on the other side of trade policy. So that was good loan growth in the quarter, at, I would say, at good yields, although there is some spread compression there. The USPV card portfolio had good loan growth again with average interest-earning balances that's contributing to you know, improved returns. And so, you know, feel good about that. Our markets business, particularly in spreads, we expect to see continued growth particularly in private credit and that's largely driven by asset-backed financing and a bit of commercial real estate. And so we're seeing it you know, the growth we expect to see and are seeing it kind of across many of those segments. You know, as rates continue to as rates come down, that'll obviously, you know, impact the you know, the funding cost of those assets. But we feel good about the yields that we're getting on them. As you know, we are, you know, we are kinda looking at the investments that we have at corporate. And as those mature, we're redeploying those into higher-yielding assets, whether they be loans or, frankly, even you get a better yield on some of the investments in cash. And so those are a number of the drivers that we have in place that are contributing to you know, NIM improvement, you know, as we manage through the environment that we're in.
Operator: Our next question comes from Ken Usdin with Autonomous Research. Line is now open. Please go ahead.
Ken Usdin: Hi. How are you? Good afternoon. Good afternoon. First question just, Mark, you talked about the good trends on the credit losses side, and you talked about, you know, at the last conference, how a few hundred million a build, and that that ended up being six hundred plus. Given that you're one of the best reserve banks already, was that just more of a catch-up related to the kind of post-April second? And but yeah. Because you had mentioned before that, like, cost of credit could be one of the things that, you know, could could inhibit a path to ten. So I just wanna understand, like, how caught up are we now and how are you thinking about that as we look ahead? Thanks. 
Mark Mason: Sure. So I look. I'd break I'd break it down in a couple of ways. So one, I do feel very good about our reserve levels. You know, $23.7 billion. 2.7% reserve to loan ratio, we look at the cost of credit in the quarter, we're looking at $2.9 billion that we booked in the quarter total cost of credit. When you break that down, you know, the NCLs is the largest part of that, and the NCLs you know, were about $2.2 billion in the quarter. That's largely related to the cards portfolios that we have. But those loss rates, as I mentioned, are inside of the range, which is a good thing. And then we have an ACL bill that's about $600 million. And so none of the build none of the net build in the quarter is associated with the cards or consumer portfolio. The $600 million can be broken down into two buckets largely one is the transfer risk in Russia. And so think about this as being, you know, we still have reduced operations in Russia and we still have dividends that come in that we have on behalf of our clients we're unable to pay those dividends out given US law. And as such, we have to hold a reserve. Around those dividends that we have on behalf of our clients so as our role as custodian. So about half of what we built in the quarter was associated with largely associated with having to establish the reserve for the unremittable dividends that we have there. The other half is tied to the corporate portfolio changes. And so there, you can see both in markets where we had an increase in loans and financing and securitization. As well as in banking where we saw a quarter-over-quarter increase in volume as well as some idiosyncratic names. You know, in both were the drivers of the other portion of the ACL build. So consumer ACL flat, build largely on the corporate side related to those two drivers. But take a step back, continue to feel very good about the health of the consumer at this stage, reserve levels that we have, and about the quality of our corporate book. That we that we also have in the aggregate reserve level.
Ken Usdin: Okay. Got it. Just second question, just in the TTS business, you know, we talked about, like, Citi sitting in the middle of all the activity a smaller line, but the fees and treasury and trade were a little softer. I'm just wondering, like, just now that we know more about things that we're seeing around the world, like, any changes to just client engagement, you know, potentially for the better or if not for the worse, and just how it feels in terms of, like, global activity that flows through that business. Thanks.
Jane Fraser: Yeah. It's we've been very proactively helping clients navigate the macro and the geopolitical uncertainty. And that's what's been driving the strong growth this quarter. Cross-border transaction value up 9% year over year. US dollar clearing volumes up 6%. You know, the only areas that have been a little softer on that front was the commercial card just being flat year over year, and that was due to lower government spend. And a little bit of the macro uncertainty. So on the fee front, I think we're feeling pretty good about this one. And if I look at, for example, the demand for trade loans, we onboarded almost two thousand new suppliers this past quarter. We grew new wins by 24% year over year as corporate have been building up inventory to limit unforeseen disruptions. And we've also been very active in the different digital asset innovations. I was talking about earlier. So it's been busy, and the operating deposit growth I don't wanna sniff at that either because that drove some strong deposit levels. Average deposits are up 7% year over year as clients were building up cash, fast buffers and keeping more working capital on hand. So kind of firing, as I say, on all cylinders here as well as elsewhere given the environment. Mark, anything you'd add? 
Mark Mason: The only thing I'd add, Ken, you know, I appreciate the comment in terms of or the question, I should say. But if you if you look at page ten, one of the things I try to highlight is that the non-interest revenue includes the revenue sharing that occurs. And so the total fee revenue, which we break out on the left-hand side was actually up 6%. And I know services is obviously both TTS and security services but I can I can tell you that that up 6% includes fee momentum on the TTS side as well as security services? So you know, don't don't don't be misled by the down 1% here. Or even what's in the supplement the underlying fee growth is aligned with the strength we're seeing in those key performance indicators that Jane mentioned earlier.
Operator: Our next question comes from Christopher McGrady with KeyBret and Woods. Your line is now open. Please go ahead.
Christopher McGrady: Great. Thanks for the question. Just going back to the buyback comment for a minute. If I could. The at least $4 billion. How would you attribute that? Is that more city-specific given the momentum you're pressing on the call today? Or really greater clarity on the regulatory environment?
Mark Mason: Well, look. I mean, I feel very good about the performance that we have, you know, as a firm in the quarter in the half. You can see just how much you know, net income we generate, you know, in the quarter you know, on slide nine on the left-hand side, I feel good about the prospect for continuing to generate earnings momentum in the balance of the year and that gives us confidence around, you know, about around the buyback levels that we have both in the third quarter that I referenced, but also in the $20 billion share we in earlier in the year. And so our performance is certainly a factor and an important factor and in our confidence on the buybacks. Now obviously, the direction and tone, as I've said a couple of times, on what we're hearing around a holistic view and look at capital is important for us. And important for the industry. And as I mentioned earlier, the direction that the SCB is going does give will likely afford us some flexibility. But this is this is the right path for us in terms of as many buybacks or as much in buybacks as we can do you know, early in the year, given where we're trading and where we feel very good about doing that.
Jane Fraser: I second that.
Operator: Thank you.
Christopher McGrady: And then my follow-up, the ten to eleven return on equity for next year, presumably, that had some degree of deregulatory benefit in there. Is what we know today versus maybe six months ago. That give you, I guess, greater confidence that.
Mark Mason: Either the level or what the timing might be sooner or better than initial initial expectations? Thanks. The timing for sorry? Just the level of ROE or the timing to get to the ten to eleventh? Thanks.
Mark Mason: Oh, look. I think the you've heard us talk about the ten to eleven for for some time now. And that really has been rooted in what we knew then, frankly, in terms of the strength of the franchise and recognizing that there was uncertainty around how capital levels. You know, would evolve. And so I don't think the takeaway is that the ten to eleven is supported by known changes in the capital regime. I think it is, like I said, more aligned with you know, where we the strength we see in the underlying franchise.
Operator: Our next question comes from Gerard Cassidy with RBC Capital Markets. Your line is now open. Please go ahead.
Gerard Cassidy: Hi, Jane. Hi, Mark. Jane, you talked about the trends and in wealth management, the organic growth over the last twelve months. The high single digits, there was weakness in the second quarter, did you see toward the end of the quarter as the markets came back, were there different flow characteristics, let's say, in the month of June versus April? And I know July is only two weeks old, but any color on it in the first couple of weeks? 
Jane Fraser: Yeah. I we we saw positive momentum in May and June as clients became more proactive, and that know, underlay the comment I made that as the markets have been recovering. In some of the initial surprise that everything that was happening, you know, clients settled down. I think that they're still being conservative. There's still a sense of let's wait and see, but we're being we'll be poised to support them when they're ready to be active.
Gerard Cassidy: Very good. And, Mark, maybe you can remind us when you guys allocate your capital, the tangible common equity by segment, you break it out first, I think up to Slide twenty-three. Markets is at $50.4 billion versus $54 a year ago. Can you share with us again why it was low why you guys have been able to lower that allocation?
Mark Mason: Yeah. Again, I this is on the heels of some very good work in markets in terms of, you know, optimizing use of risk-weighted assets and generating higher revenue for use of balance sheet, and that obviously contributed to you know, more steady, solid performance in both earnings as well as returns that we've seen. And as we look at this once a year, in terms of how we disclose it. There was certainly an opportunity there to, in light of their contribution to stress losses, to bring down what we allocated to the markets business. I would highlight that if you look across that page, I think it's page nineteen in the deck, you actually see that most of the businesses had a reduction in allocated TCE you know, on the heels of improved performance that we saw coming out of 2024. And so that's the approach that we take. Obviously, the ideal scenario is that we are bringing down the capital requirements in aggregate at the firm level through you know, returning that to shareholders or ensuring that we're earning higher returns on it. But the businesses have been performing well, and it has shown up in their allocated TCE while supporting continued growth that they expect in 2025.
Operator: Our next question comes from Matt O'Connor with Deutsche Bank. Line is now open. Please go ahead.
Matt O'Connor: Hi. Just wanted to ask on expenses back half of the year. The four-year guide implies cost coming down. Obviously, you had quite high severance this quarter. Just wanna get a sense of what you're assuming for kind of severance the rest of the year and I think you said some of the transformation costs are going up. Any other, puts and takes of life?
Mark Mason: Yeah. I think I'd in terms of your question on stranded costs, I think I given guidance that we had roughly $600 million or so in our forecast for the full year of 2025. When I look at where we are through the second quarter. We're probably you know, at $500 of that $600. So you can envision in the second half, you know, a meaningful reduction in the amount of severance that we're assuming you know, in the balance of the year. And then as you would imagine, that that severance was is in place for employees that are leaving. And so we would also see the benefit from reduction in compensation associated with that start to play out in the in the back of the year as well. And then, obviously, I mentioned earlier stranded cost product productivity, those are all other drivers that contribute to the downward trend. Obviously, revenue to the extent of this year-over-year revenue growth, we'd expect it to be volume and revenue-related expenses associated with that. And any transformation or other hiring that we do would be the offset. But downward trajectory, though those are the drivers that get us to the full-year estimate that we've been talking about at $53.4.
Matt O'Connor: Okay. That's helpful. And then just in the severance, I think it had a placeholder for a few hundred million next year. But are you kind of getting after it a little bit sooner than you thought and then might be lost or still have a placeholder for a hundred million next year as of now?
Mark Mason: Yeah. I'm not changing my guidance on next year at this point, but we feel good about the path we're on for the balance of 2025 and feel good about that ten to eleven as we go into next year and we'll deal with kind of where there's opportunity to do something different as we kinda get into next year.
Operator: Our next question will come from Steven Alexopoulos Cowen. Line is now open. Please go ahead.
Steven Alexopoulos: Hi, everybody. This is actually for Jane. Jane, I wanna go back to your response to Ebrahim's earlier question. Stablecoins are a good opportunity for Citi. I don't know if you caught CNBC yesterday, but Circle CEO is a newbie to comment that no one sends an email across border right, implies that disabled point companies are coming after across border. So the questions are: how much of the total company's revenue is cross-border? And do you have an appetite to proactively disrupt yourself in a way to get ahead of these new entrants coming into the business? 
Jane Fraser: Oh, I can't wait to answer this question. So if you keep in mind right now, stablecoins about 88% of all Stablecoin transactions are used to settle crypto trades. There's only 6%, which is payments, in a traditional offering, if you are moving from cash to stablecoin and back to cash, right now, you're incurring as much as a 7% transaction cost. I mean, that's just that's prohibitive. So this is where Citi token services is is so exciting because it enables the client to move from physical fiat to the digital and back again without incurring that transaction cost. So a client can move cash across their regional and global hubs let's say, from New York to Hong Kong and the UK and back again, on us, instantaneously, 24/7, cross-border. And we also absorb all of the complexities that you'd have to do if you're working with Stablecoin and moving back to fiat, such as the accounting, the AML, you know, etcetera, etcetera. So I truly I'll ask as I mentioned, we've been already moving billions in transaction volume in this this year on Citi token service but ours is the superior offering here. Particularly for our corporate clients. And if anything, what's holding us back at the moment is it's our clients' readiness to operate in this world because we're ready. We're doing it, and we're gonna keep on innovating. We're just gonna keep building these capabilities out into the payments financing, liquidity, and other spaces. So and we'll do it in a safe and sound manner because trust is also important.
Steven Alexopoulos: Jane, I appreciate that color. For my follow-up, so I fully get the value of the token to your clients and I asked Jamie this question this morning on the JPMorgan call. But when I think about the innovators you have the last mile relationship. So you're in the pole position right now but when we think about the value of, let's say, Circle payment network does you know, it over time, they need to build a network. You already have one. They need to build one. But they'll connect everybody that uses different banks and, you know, if you got together with Bank of America and JPMorgan and others, you could very quickly create a network that could almost be impenetrable by these newer entrants. And what is the perplexing thing to me, like, what is holding the banks up today from joining together same way you did from Zelle and you'll block off these new entrants entirely. Because that to me, that's what needs to happen.
Jane Fraser: For all the benefits you talked about to stay in our ecosystem. So this is one of the reasons we really welcome the administration's willingness. To allow banks to participate in the digital asset space more easily. The is where the Genius Act is also something that we're enthusiastic about. Particularly because it gives a level playing field as well. Up until now, it has been hard for us to participate. You know, in an in the level playing field as you talked about. And I go back to, I think, your point, but also the point I made earlier. What do clients want? They want multi-asset, multi-bank, cross-border, always-on solutions in payments, financing, and liquidity. We shall do that. We shall do that in a safe and sound manner. There'll be areas we'll cooperate with other banks, but to do what I just said, we don't need another bank. We're the global leader in this. And we'll absorb all of those complexities of compliance, reporting, accounts, AML for the client. To your point, I think we have the killer app here.
Operator: Our final question comes from Saul Martinez with HSBC. Your line is now open. Please go ahead.
Saul Martinez: Hi. Thanks for squeezing me in. I just just one question for me. Wanted to ask about USPP. Good momentum there. The 11% RONSI in the direction of travel is positive there. But it's still, you know, pretty low given the mix of businesses that you're in. Largely, you know, you know, cars, you would think that the RAVI will, you know, should be higher. And, you know, can you just remind me what your goal is there? How quickly you can get there, and what what's what is still an impediment to. You delivering that kind of return? Is it do you still have transfer do you have transformation cost? In there? Is the is the retail banking business a drag? What what what sort of a make you've under earned still in this business?
Jane Fraser: Yep so our goal is mid-teens then high teens on the RO target for this business. We're we are very committed to both the cards business as well as the retail bank. And I'll talk a little bit about the retail bank quickly in a minute as well. But we have a path to high returns from revenue in terms of also improving expenses, as you say, we have elevated expenses because of the transformation. And we've also got the path on capital there. So I feel very good about the strategy in cards. We're prime credit-led card issuer. We've got a very diverse portfolio. Sizable proprietary portfolio that we're growing, and we've got some real market of partner clients. We will continue growing our revenue by expanding and refreshing the product suite. You've just seen what we've announced. We've also invested a lot in the digital capabilities, incentivizing cardholders to do more. And we've had eleven quarters now. I think it is a positive operating leverage. I think you're just gonna see us you know, keep delivering about that in an improved credit environment, we hope. And that's what we're seeing going forward. The other area is we're investing a lot in AI. And that is gonna deliver efficiency as well as service benefits. I'm pretty excited about what we see there. And you know, I don't wanna forget the retail bank strategy because it is the front door to city in the states. That we, you know, while we've only got 650 branches, our six core markets have a third of the household high net worth households in the states. It makes the retail bank a very important feeder for wealth. We have the highest deposits per branch as well. And so this is not just a low-cost funding option for us. But, I'll really positive to have seen the good growth on the retail bank there. So I think you just see a steadily moving forward towards that target. And next year, we've got the benefit of Barclays portfolio coming on board as well. So I'm nicely I think you can tell nicely confident about the path we're on, the direction of travel, and meeting those returns.
Saul Martinez: Good. That's great. Thank you very much.
Operator: There are no further questions at this time. Turn the call over to Jennifer Landis for closing remarks.
Jennifer Landis: Thank you everyone for joining us. Please reach out if you have any follow-up questions. Thanks, everyone. Thank you.
Operator: This concludes the Citi second quarter 2025 earnings call. You may now disconnect.